Operator: Good day, ladies and gentlemen, and welcome to the Second Quarter Silicon Motion Technology Corp. Q2 2014 Earnings Conference Call. My name is Han, and I will be your conference moderator for today. [Operator Instructions]
 Before we begin today's conference, I have been asked to read the following forward-looking statements. This press release contains forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 and Section 21E of the Securities Exchange Act of 1934 as amended. Such forward-looking statements include, without limitation, statements regarding trends in the semiconductor industry and our future results of operations, financial condition and business prospects. Although such statements are based on our own information and information from other sources we believe to be reliable, you should not place undue reliance on them. These statements involve risks and uncertainties and actual market trends and our own results may differ materially from those expressed or implied in these forward-looking statements for a variety of reasons.
 Potential risks and uncertainties include, but are not limited to continued competitive pressure in the semiconductor industry and the effect of such pressure on prices, unpredictable changes in technology and consumer demand for multimedia consumer electronics, the state of and any change in our relationship with our major customers and changes in political, economic, legal and social conditions in Taiwan. For additional discussion of these risks and uncertainties and other factors, please see the documents we file from time-to-time with the Securities and Exchange Commission. We assume no obligation to update any forward-looking statements, which apply only as of the date of this press release.
 I would now like to hand our presentation over to our host, Mr. Jason Tsai, Director of IR and Strategy. Please proceed. 
Jason Tsai: Thank you, and good morning, everyone. Welcome to the Silicon Motion's second quarter 2014 financial results conference call and webcast. My name is Jason Tsai. With me here is Wallace Kou, our President and CEO; and Riyadh Lai, our Chief Financial Officer.
 The agenda for today is as follows. Wallace will start with a review of some of our recent business developments. Riyadh will then discuss our second quarter financial results and provide our outlook. And we'll conclude with Q&A.
 Before we get started, I'd like to remind you of our Safe Harbor policy, which is read at the start of this call. For a comprehensive overview of the risks involved in investing in our securities, please refer to our filings with the U.S. SEC. For more details on our financial results, please refer to our press release, which was filed on Form 6-K after the close of market yesterday. This webcast will be available for replay on our website, www.siliconmotion.com, for a limited time.
 To enhance investors' understanding of our ongoing economic performance, we will discuss non-GAAP information during this call. We use non-GAAP financial measures internally to evaluate and manage our operations. We have therefore chosen to provide this information to enable you to perform comparisons of our operating results in a manner similar to how we analyze our own operating results. The reconciliation of the GAAP to non-GAAP financial data can be found in our earnings release issued yesterday. We ask that you review it in conjunction with this call.
 With that, I turn the call over to Wallace. 
Chia-Chang Kou: Thank you, Jason. Hello, everyone and thank you for joining our earning call. We are excited by our outstanding operating results in the second quarter and the positive direction of our business for the balance of the year and going into the next year.
 This quarterly revenue grew 31% sequentially and our sales will likely grow another 15% to 20% sequentially in the third quarter to deliver the highest quarterly revenue level in our corporate history. Already this quarter, our NAND side controller-only business, which accounts for 85% of total sales, has already achieved the highest quarterly revenue in our history.
 With our growing pipeline of what we believe are high-quality business opportunities, we are increasingly confident that our current strong revenue growth momentum will continue from this year through to next year. Riyadh will talk more about financials and guideline later in the call.
 This quarter, revenue grew 31% sequentially, led by very strong 35% sequentially SSD+Embedded sales. Our SSD+Embedded products are now well over 30% of our total sales. Within our SSD+Embedded products, both our eMMC controller and SATA 3 client SSD controllers grew stronger. Our eMMC sales grew 65% sequentially this quarter, much more strongly than we had originally expected, as our Korean partner, SK Hynix, further increased this global market share along multiple bounds [ph]. Hynix leverages very cost competitive mobile DRAM part to build eMCPs [ph] which are tighter memory solutions that are packaged in NAND flash with our eMMC controllers and mobile DRAM. These eMCPs [ph] are targeted in smartphone OEM that are building mid- to low-cost devices using Qualcomm and MediaTek reference designs that use cost-effective eMCPs [ph].
 Hynix's large build of eMCP [ph] coincided with this large 30% NAND flash big growth in the second quarter. Hynix is also rapidly building discrete eMMC 5.0 memory modules for high-end smartphones and has growing business presence in the world's largest smartphone OEM.
 Our eMMC sales also grew strongly this quarter because of the new NAND flash partner who we started shipping during the first quarter TLC eMMC scaled further as procurement of our eMMC controllers. These pilot eMMCs are built using a very cost competitive TLC NAND flash and have been qualified fabrication processors supplied by MediaTek as well as leading low-cost Chinese vendors such as Rockchip and Allwinner.
 We are confident this customer's TLC eMMC business will scale much more rapidly next year based on our existing program wins in production as well as new program wins, which will enter production in first half 2015. However, in the next 2 quarters, our sales growth with this customer will be limited due to our partners' temporary internal NAND flash allocation decision. This shortfall impact is temporary and we are increasing eMCP ph] resource to this partner.
 Our eMMC project with Samsung on the other hand are for legacy technologies. We are winding down this business and reallocating our resources to better support our TLC NAND flash partner. The impact from this winding down is small as our annual eMMC revenue from Samsung is less than $5 million. We expect our eMMC revenue from our TLC NAND flash partner this year even with the [indiscernible] to exceed our cumulative eMMC revenue with Samsung. So as we add additional eMMC R&D resources, we could explore reengaging with Samsung on next-generation embedded memory controllers.
 Our second half eMMC revenue is expected to grow at least 35% as compared to the first half of this year. SK Hynix is growing its eMMC business very successfully and continue to expand its market share in China and in other markets. We believe we are on track to grow our eMMC sales by 30% this year, double the market's 25% growth rate, and increase our market share to 25% for the full year 2014.
 Our eMMC controllers are now shipping in all of top 10 non-iOS smartphone OEM devices, 2 more than in the previous quarter. We believe our strong eMMC growth will continue next year based on successful business momentum for both Korean NAND flash partners as well as the first growth in our multiple program wins as our TLC NAND flash partner will reverse its flash allocation decision early next year. We believe next year our eMMC business should grow at least in line with the market's expected 15% to 20% growth.
 Over the last few years, we have successfully scaled our eMMC controller business and extended our leadership over potential emerging competitors by raising competitive barrier to entry. Whether internal technology, track record, market credibility, cost competitiveness, customer support, better[ph] OEM relationship, our economies of scale, we are now seeking to bring the same success to our SATA 3 client SSD controller business.
 For our relatively new SATA 3 client SSD controller business, we achieved a number of the important objectives in the second quarter. But you may remember last quarter, many module makers, including PNY and Transcend launched SATA 3 client SSD building our controller to aggressively bringing to market sub-$100 SSD with data speed of up to 256 gigabyte. We are seeing continued strong demand from our module maker customers as retail demand for this product at this attractive price point has been stronger than expected. Because of stronger module makers' sales, we are increasing our SSD sales goal this year from $10 million to $15 million to $15 million to $20 million.
 SSD revenue forecast also includes contribution from SATA 3 controller sales to our SSD OEMs, which we'll begin shipping in the third quarter, SSD OEM excluding cache SSD for one of leading PC OEM in the US. Revenue from this product this year will likely not be weak. But SSD OEM recently awarded us a significant program win where all of their new SSD from their PC OEM customers will be using our controllers. Sales relating to these new programs will start in early 2015.
 Previously we had communicated that we had secured SATA 3 controller design win with one of our NAND flash partners for quarterly initial production. Initial sales to this customer has been pushed back by a few months to the first quarter of next year. In addition to this first SSD program, this partner has awarded us a second SATA 3 controller program win, which should start mass production in the middle of next year. We have also secured a SATA 3 controller program win with a second NAND flash partner. We expect to begin mass production in the first quarter of next year.
 To summarize, we have 3 SATA 3 client SSD OEM customers with multiple program wins that will go into production in first half 2015. We also expect our current module maker channel SD business to continue to scale through next year.
 To try our longer-term growth, we are recently broadening our SSD product portfolio and will be introducing several key products in the coming months. We will launch our SATA 3 client SSD controller to basically support TLC flash in the third quarter. This year, we'll introduce our PCIe Gen 2 SSD controller and next year our PCIe Gen 3 SSD controllers. Our TLC SATA 3 controllers will be the first of the kind on merchant controller vendor and this complete hardware and firmware control solution will support 1x/1y and 1v nanometer TLC NAND flash. Via the ability of TLC SSD controller, we'll improve the affordability and further expand the addressable market of SSD in PCs.
 We have already secured design wins for this upcoming controller with the NAND flash partner. The TLC SSD controller brings together technology that is now available elsewhere in the merchant market. Our solution delivers SSD manufacturers' need to overcome the problem of using cheaper for the weaker TLC flash by utilizing proprietary LDPC algorithm, [indiscernible] our flagship and SLC caching firmware to extend the overall endurance and improve the reliability of TLC-based client SSD solutions.
 With our growing eMMC and new SATA 3 SSD controller business, we are making a solid progress in transitioning to become the leading merchant embedded solid state drive controller vendor in the market today.
 Now let me turn to our LTE transceiver business. In the second quarter, we began mass production of our new LTE advanced transceiver for the design wins we secured in the first quarter. I'm happy to announce today that we have secured 2 additional design wins. In fact, these 2 projects will enter mass production in the third quarter. We are pleased by the new traction we are seeing with center for our new LTE advanced transceivers, and we now expect to deliver $12 million in revenue for this year.
 This has been an outstanding quarter for Silicon Motion, but we believe this is just the beginning. Our portfolio of SSD+Embedded products and customers are building in momentum and we are well positioned to deliver strong second half and full year 2015 growth.
 I will now turn the call over to Riyadh to discuss our financial performance and outlook. 
Riyadh Lai: Thank you, Wallace. First I will outline our financial results for the second quarter, and then I'll provide for our third quarter guidance. In the second quarter, revenue increased 31% sequentially to $69.4 million. Our controller sales increased 30% sequentially. And within our controller sales, our SSD+Embedded products grew by over 55% sequentially, while sales of our removable storage products, our card and USB controllers were roughly flat sequentially. Our specialty RF IC sales increased 54% sequentially, as sales from our mobile TV SoC increased and to a lesser degree, we started initial sales of our LTE transceiver to Samsung.
 Our corporate gross margin increased to 52.2% in the second quarter from 48.6% in the prior quarter due to much higher revenue contribution in the second quarter from our high gross margin new growth products, specifically eMMC and SATA 3 SSD controllers.
 In the second quarter, our operating expenses increased to $19.9 million as compared to $16.9 million in the first quarter due to higher compensation expenses and R&D tape-out expenses. We ended the second quarter with 751 employees, 13 more than at the end of the previous quarter. Due to higher revenue and gross margins, our operating margin increased to 23.5% in the second quarter from 16.7% in the first quarter.
 Earnings per ADS in the second quarter were $0.41, an increase from the $0.16 in the first quarter. Stock-based compensation in the second quarter was $0.4 million, lower than $1.5 million in the first quarter due to the timing of share grants.
 I will now move to our balance sheet and cash flow. Inventory days decreased to 105 days in the second quarter from 108 days in the first quarter. DSO decreased to 52 days in the second quarter as compared to the 59 days in the first quarter. Payable days increased to 58 days in the second quarter from 48 days in the first quarter. Our cash, cash equivalents and short-term investments increased to $160.9 million in the second quarter as compared to $158.6 million in the first quarter.
 Primary sources of cash in the second quarter were $14.1 million from net earnings and an increase in payables contributed $13.7 million. An increase in the inventories consumed $14.2 million and increase in receivables consumed $4.3 million. And our dividend payments consumed $5 million. We invested $1.5 million for the purchase of software and design tools, increased our security deposit at TSMC by $4.5 million.
 I will now turn to our guidance. For the third quarter, we are expecting our revenue to increase 15% to 20% sequentially. For full year 2014, we are increasing our guidance to 22% to 27% revenue growth as compared to 2013. For our eMMC controller business, we are now expecting over 50% revenue growth this year, double the rate of market growth, and expect to increase our market share from 15% to 20% in 2013 to about 25% in 2014. We expect to see strong sequential growth in our eMMC business in the third quarter with seasonal decline in the fourth quarter and grow at least in line with 15% to 20% market growth in 2015.
 Our SATA 3 client SSD revenue for the full year is now expected to be $15 million to $20 million, higher than our previous expectations of $10 million to $15 million. We expect to see strong sequential SSD growth in both the third and fourth quarters and for this revenue to scale 3 to 4 times next year.
 We expect our removable storage revenue to remain flat sequentially for the rest of the year, but decline 5% to 10% for the full year. We believe our removable storage revenue will likely remain flat or decline very mildly next year. We continue to target $12 million in sales for our LTE transceivers this year and believe our LTE sales in 2015 total at least deliver $12 million.
 For the third quarter, we expect our gross margin to be in the 50% to 52% range. And for the full year, we expect our gross margin to be in the 49.5% to 51.5% range. Blended gross margin in the third quarter will be a little lower than in the second quarter because of planned volume related pricing actions, offsetting more favorable product mix. Fourth quarter blended gross margin will be lower than third quarter because of fourth quarter eMMC seasonality.
 We expect third quarter operating expense of $21 million to $23 million and full year operating expense of $78 million to $80 million. Expenses will be higher in the second half due to higher R&D project tape-out expenses and compensation expenses. Stock-based compensation in the third quarter should be $4 million to $5 million and for the full year $10 million to $11 million. Our mobile tax rate remains at 18%.
 We will now open the call for your questions. 
Operator: [Operator Instructions] Your first question comes from the line of Suji De Silva from Topeka. 
Sujeeva De Silva: Can you, Riyadh, repeat what your expectation was for 2014 for SSD growth and what kind of share that implies for the market? 
Riyadh Lai: Our SATA 3 SSD, we're expecting revenue that is higher than what we had originally expected. Originally we're expecting $10 million to $15 million for the full year. We're now expecting $15 to $20 million for our SATA 3 client SSDs. 
Sujeeva De Silva: I thought you gave '14 guidance as well, in terms of a multiplier. 
Riyadh Lai: This is for next year. Next year we're expecting this revenue to scale further, scale 3x to 4x. 
Sujeeva De Silva: 3x to 4x. And what kind of share does that kind of growth imply, do you think, for the marketplace? 
Riyadh Lai: We do not have a particular market share target at this moment. This business is new. Our revenue is now entirely based on the program wins that we have secured so far, which includes one SSD OEM targeting the PC industry as well as 2 NAND flash partners with multiple design wins at all 3 OEMs. 
Sujeeva De Silva: A question on the SSD as well, in terms of these follow-on programs you're getting from the OEMs and the flash vendors, are they larger programs than the initial one? Was the initial one something of a test and the newer ones are kind of upping to more of the platform there? And how does the revenue in '14 for SSD ramp, is it linear or is it back-end loaded? 
Chia-Chang Kou: We believe our engagement with the NAND makers SSD programs are the major project inside their programs. And the revenue growth will be significant in 2015. 
Riyadh Lai: Let me add, some of these program wins are for the entire SSD family. So the volume could be quite significant. 
Sujeeva De Silva: And maybe a last question on the OpEx here. Do you expect that to grow the headcount and R&D to support these programs in '15, or is the run rate from exiting '14 relatively the rate for '15? 
Chia-Chang Kou: We are hiring very aggressively. But just I think every company [indiscernible] recruit enough talented people that you wanted. But we have started very aggressive programs. And through the recruiting, through the school, through referral programs, we are trying to increase our R&D development force as quickly as we can. 
Operator: Your next question comes from the line of Anthony Stoss from Craig-Hallum. 
Anthony Stoss: Riyadh, if you wouldn't mind taking us through kind of what you're thinking now in terms of 2015 OpEx, do you think that will moderate a little bit here heading into '15? Also longer term, in terms of your gross margins, what are the ticks and tacks on how you think they'll shake out over time? 
Riyadh Lai: We're trying to manage our operating expense as effectively as we can. Dual requirements, on one hand, we would like to start generating positive operating leverage where we can start piling on more revenue and then having more of that dropping to the bottom line. On the other hand, we have a lot of new programs in our SSD and embedded space where the eMMC or SSD we have a whole slew of new SSD programs with multiple OEM customers whether there is a major device OEMs or the NAND flash partners of ours for multiple generation of products. And these are all expecting to require a lot of resources. So in sum, we're seeing more and more opportunities. And based on our current headcount and available resources, we are sort of required to turn all of these opportunities, even some large OEMs. So you can expect us to scale our investment in headcount and infrastructure to match the level of interest in business activities we're seeing. Our target gross margin is 50%. And while this quarter it's been higher because of the greater mix of our new growth products, specifically our higher gross margin eMMC and SATA 3 eMMCs, what we're trying to do is manage our overall gross product mix that is coming in our long-term target of 50%, which remains our focus. We expect to see some pricing declines at some of our project scale and volume related pricing terms kick in. We also expect our gross margin to fluctuate from quarter-to-quarter due to the mix and timing of new products. But believe 50% is a healthy long-term target for us. 
Anthony Stoss: And then as a follow-up, Riyadh, anything to be concerned about in terms of sourcing, given the very strong revenue ramp? How you're finding your component supply? 
Riyadh Lai: Our primary component supply is foundry. TSMC is our primary foundry partner and we also use SMIC. And as the leading supplier of SSD+Embedded in the space, we have strong support from our foundry partners. They like to back the leaders in each of the spaces that require their services. But one indicator of the support and the relationship with our foundry partners, we made a $4.5 million security deposit at TSMC in order to ensure that we have the security of foundry services. 
Operator: Your next comes from the line of Jaeson Schmidt from Lake Street Capital. 
Jaeson Schmidt: Just wondering if you could talk a little bit about current competition and if you're seeing any pricing pressure out there. 
Chia-Chang Kou: Regarding the eMMC, we believe we're the only meaningful merchant eMMC controller providing the market today. We partner with flash OEMs to extend their already resource and R&D capability. I think some outstanding TLC flash management and with LDPC ECC engine, the [indiscernible] hardware decode and SLD caching [indiscernible] is very unique. It's a complementary to our flash partners. We will continue to outsource more mainstream high-volume product, while they focus on their own internal resource for more [indiscernible] high-end solution for major OEMs. We believe that barrier to entry to getting higher and higher with only merchant supplier and with a successful track record in shipping hundreds of millions of units annually is very difficult for any new competitors to come into the market this point in time without high track record and to deflate our leading position in the market. For SSD, we believe the LSI go to [indiscernible] Seagate also how to clean up the market competitive landscape. We are very confident in our product and increasing pipeline of design wins from OEM customers in a testament to the competitiveness of our SSD solutions. I think our technology in SSD really built from the ground with a very, very meaningful[ph] effects with the engagement, the depth, the know-how of NAND, we are in a very unique position to cover for 1v 15 nanometer, 16 nanometer TLC all the way to 3D NAND. So we are in very good position that other NAND makers even from merchant group can't compete with us today. 
Jaeson Schmidt: And then are you at all concerned about any potential channel inventory glut in any of the product lines? 
Chia-Chang Kou: Regarding eMMC, I think our NAND maker partner, they monitor it very carefully. They track every week about the channel inventory. So we don't really see the inventory is too high. They have reverse search engine in their factory. But I think they monitor carefully. We also monitor channel and OEM side very carefully. 
Operator: Your next question comes from the line of Rajvindra Gill from Needham & Company. 
Rajvindra Gill: I know it might be a bit too early to talk about 2015, but you gave some indication on some of the piece parts. But in '14, you guys grew 22% to 27% or expected to grow. And arguably as you go into 2015, you're starting to see a ramp on the SSD side as well as ongoing growth at eMMC as well as from stabilization on the legacy business. So I'm just kind of wondering how we should look at the kind of long-term growth rate. Is this a company that could be growing 15% to 20%-plus, given some of the big markets that are open to you? 
Chia-Chang Kou: So currencies on sidelines and product positioning and our engagement with the NAND makers, we believe we will also continue to grow strongly in 2015 and beyond. And it's a matter of how quickly we see the embedded SSD, plus embedded storage controller and how big market grow and how big opportunity we can take. We believe we can continually expand engagement opportunity with NAND maker in both eMMC as well as SSD. 
Riyadh Lai: It's perhaps a little premature for us to be giving a consolidated revenue growth target for next year. But what we can do right now, given all the various program wins that we've already put in place and where we're expecting revenue beginning in early half of start of next year, we can start giving you pieces where you can start getting a feel of how we're going to be growing our revenue next year. Starting first on the eMMC side of the business, we have very strong traction with Hynix who got a TLC NAND flash partner. We should at least grow in line with the market next year. And we believe the market for eMMC should grow about 15% to 20%. Moving over to SATA 3 part of the market, this year we'll probably do $15 million to $20 million of SATA 3 client SSD revenue. Next year, based on the traction that we have with our 3 OEMs and the multiple program wins that we have secured so far, we believe that we should be able to scale our business 3 to 4 times what we think we can achieve this year. LTE, we're on track to deliver $12 million of LTE revenue this year. And going into next year, we think we should be able to deliver at least $4 million of LTE revenue next year. On our older products, our removable storage revenue relating to card controllers and USB controllers, we believe this part of our revenue should remain flat or decline mildly next year. 
Rajvindra Gill: And with respect to some of the LTE programs, the 2 additional ones that you announced, the 2 additional programs, can you maybe elaborate a little bit further on the design wins? And you talked about that you've seen renewed interest, I guess, in Samsung. Can you talk about what Samsung's strategy is in the development of their own LTE base band and as well as their ability to integrate into the app processor? Can you talk a little bit about that? 
Chia-Chang Kou: We said before, we do not believe that Samsung commitment to their own platform has changed. We believe that is their part of long-term strategy to utilizing more internal strength in their content and capture more value chain economics. The percentage model using their own baseband versus third-party has varied over the past couple of years. But our understanding from our conversation with Samsung, they want to use their own baseband in more models. When their baseband in the beginning parts of that become more mature, more cost competitive, they're going to shift more model for internal solution. 
Rajvindra Gill: Can you talk a little bit about the pricing by product and kind of where you see that heading for the future? 
Chia-Chang Kou: We do see the market demand lower-cost high-performance products and cost could be competitive. However, we believe because we're continuing to launch in the new premium lines through the SATA product mix, we believe our gross margin and ASP could be relatively stable. 
Riyadh Lai: Our mobile storage blended ASPs should over time blend up as our revenue mix include more higher ASP products like eMMC and SSD controllers. But let me also add on our apples-to-apples basis that ASP of our products have been fairly stable because of the increasing span of the technological bridge that our controllers provide. Wallace had mentioned that our job is in designing increasingly sophisticated controllers that bridge the gap between OEMs' expectations of ever better and faster storage devices, better performance. But at the same time, the components that they're using, they're seeking to use cheaper and cheaper next-generation flash components are getting weaker and weaker. And so the job of our controller is to bridge this ever widening gap, and this represents value. So we're seeing more stable blended ASPs for example in our eMMC controllers now that we have a broader portfolio of controls and with the broader portfolio of controls, we're seeing stability. And it's coming from having inventory of 4.1, 4.5 and 5.0. But generally from a modeling perspective, you should think about modeling for flat ASPs we've been able to successfully overlay new higher ASP products against the decreasing ASPs of our older generation products, which should result in flattish ASP trends. 
Operator: Your next question comes from the line of Mike Crawford from B. Riley. 
Michael Crawford: Further regarding the ASPs, would you say that the embedded mobile storage ASPs are still about 2x that of the removable storage controller ASPs? 
Riyadh Lai: As a rough benchmark, our eMMC is roughly $0.50. This is a rough benchmark. Our products are not products that we supply to the market, so this is just some... 
Chia-Chang Kou: The same generation of products, ASP is going to decline from next year. We're also bringing the new generation like we're going to have eMMC 5.1 by the end of this year. We'll even have USS [ph] by the second half next year. So through the proper product mix, we should be able to maintain a stable ASP for our flash controller. 
Michael Crawford: And then in 2012, Samsung, I believe, was 32% of revenue. About what percent of revenue is Samsung so far in 2014? 
Riyadh Lai: Samsung's present percent has declined compared to past years for 2 reasons. They used to be a very big buyer of our controllers for bundled cards. We no longer do much bundled cards. We have also reallocated our engineering resources in -- previously we were supporting Samsung for eMMC. We've now reallocated that resource to support our TLC NAND flash partner for their TLC eMMC products. And so it's a declining trend. But this year, we expect Samsung to be a 10% customer. 
Michael Crawford: And then you talked a little bit about some of the consumer SSD controller products you'd be introducing likely next month. Could you just add some more color on to what you intend to be bringing and showing? 
Chia-Chang Kou: We mentioned we have won a major design win through the OEM customer. We'll bring the solution to one of the top 3 PC OEMs. The first will be cache SSD. Then I think really the later of this year, we're going to enter 2 more major PC OEMs. So I think on what we said, they're coming to award us, they're going to convert all SATA SSD solution to SMI controller through the 2015. In addition, I think we have been engaged with 2 NAND makers with multiple projects on most production we'll see in early 2015, which will somewhat cover entire product lines for the SSD products. So this will bring us great momentum to grow throughout 2015 to 2016. 
Operator: [Operator instructions] Your next question comes from the line of Tom Sepenzis from Northland Capital Management. 
Thomas Sepenzis: I think in your prepared comments, you mentioned that Samsung has gotten down to less than 5% of your eMMC revenue. Did I hear that correctly? 
Chia-Chang Kou: Less than $5 million. 
Thomas Sepenzis: And is that just market share loss or are they going in a different direction? What's driving that? 
Chia-Chang Kou: I think we mentioned the legacy programs has been last for almost 1.5 years, so it's running, and at the same time also move to more evolving internal solutions. However, I think Samsung will give us longer-term projects, because the market has uncertainty regarding USS. So some projects has probably taken longer to materialize. We allocate our R&D resource for much better near-term revenue growth. That's why we're allocating more R&D resource to the other TLC eMMC projects NAND makers for the near term. But when we start to recruit more R&D resource that we can get with more NAND makers for broader business. 
Riyadh Lai: Let me add some more color. As you know, we're eMMC engineering resource constrained. So we're reallocating our resource from Samsung to our TLC NAND flash partner. The impact of this reallocation is not big, because our annual eMMC revenue with Samsung is, as Wallace pointed out, less than $5 million. We expect our eMMC revenue this year with our TLC flash partner to already exceed our cumulative eMMC revenue with Samsung. As we continue to expand our R&D resources and continue our dialogue with Samsung for next-generation, it's possible that we could work with Samsung again in the future. 
Thomas Sepenzis: And then in terms of the new LTE platforms, is this 3 distinct handsets, or is this just different geographies of the existing one that you had? 
Chia-Chang Kou: There's 3 different handsets, 3 different smartphones. 
Thomas Sepenzis: For next year then, the $12 million that you're targeting for next year is likely a conservative estimate if you're talking 3 different Samsung handsets. I mean are these all high-end handsets or some of them targeting a low- to mid-range as well? 
Chia-Chang Kou: For Samsung mobile, we're targeting a high-end handset. However, in second half 2015, we are also engaged with a non-Samsung LTE transceiver business, which will be more mid- to low-end. 
Thomas Sepenzis: So is Samsung selling the solution externally? Did I get that right? 
Riyadh Lai: No. We're working with other LTE transceiver partners and baseband partners. And so there's the opportunity for this to go beyond just Samsung. 
Operator: Your next question comes from the line of Monika Garg from Pacific Crest Securities. 
Monika Garg: First just a housekeeping, the inventory in the dollar amount increased quite substantially quarter-over-quarter. Anything particular reason or it's still kind of anticipated sales for the next quarter? 
Riyadh Lai: Monika, you're not coming through very clearly. Could you repeat your question more loudly please? 
Monika Garg: The inventory in dollar amount increased quite substantially. Could you just help us understand that? 
Riyadh Lai: Our inventory has actually decreased. Our inventory decreased from 108 days to 105 days in the second quarter. 
Monika Garg: I was just looking at the dollar amount and looking through the last 7, 8 quarters. 
Riyadh Lai: Well, our revenue also increased quite significantly. Our inventory level has risen, but it’s part of primarily as a function of our ramping revenue. Our revenue increased 31% this quarter. 
Monika Garg: What was the eMMC revenue from Samsung last year? 
Riyadh Lai: Less than $5 million. 
Monika Garg: Then for the LTE business, given basically the run rate of this business, have you thought about spinning off this business? 
Riyadh Lai: We're always looking for strategic opportunities. But as things stand, Samsung is still connected to this business. And this is important part of our business. But if the business does not perform, does not continue to meet our strategic objectives, we could be open to more strategic options. 
Monika Garg: What do you think is the OpEx of running this business right now, kind of any ballpark, any way to think about it? 
Riyadh Lai: Talking about our total OpEx? 
Monika Garg: No, sorry, for the LTE part of the business. 
Riyadh Lai: The business has operating expense that is appropriate for its level of revenue. And we don't break out LTE specific operating expense. 
Monika Garg: Could you talk about what you're seeing in the NAND supply right now in the market? Last quarter, you commented that you thought market could be tight in the second half. Is it the same viewpoint or kind of your viewpoint talking to the NAND vendors? 
Chia-Chang Kou: Overall, their ability was good in the second quarter, but we believe that NAND market will experience tightening in the beginning of the third quarter. The growth of the industry this year is still expected to be over 30%. But the big demand is increasing very rapidly largely from the quicker adoption of the client SSD as well as continuing growth of smartphone and tablet. PC client SSD has become the largest end market for NAND flash and continuing to grow very rapidly, as they're nearly doubling the big demand this year as compared with '13. We do not expect this tightness to impact our SSD or eMMC business. We think the NAND, the big growth eventually will reach balance by year-end. 
Operator: There are no further questions at this time. I would now like to hand the conference back to Mr. Wallace Kou. Please continue. 
Chia-Chang Kou: I would like to thank all of you for joining us today and your continuing interest in Silicon Motion. We'll be at the following conference this quarter. In August, we'll be presenting at the Pacific Crest 16th Annual Technology Leadership Forum in Vail. Jefferies Semiconductor & Hardware Asset Day in Chicago. In September, we'll be presenting at the Citi Tech Conference in New York, Brean Technology Conference in New York, JPMorgan Asia-Pac Equity Conference in Boston, Lake Street Capital Conference in San Francisco and Credit Suisse Asian Tech Conference in Taipei. Details of these events are available on our website.
 Thank you and good bye for now. 
Operator: Ladies and gentlemen, that does conclude our conference for today. Thank you for your participation. You may all disconnect.